Operator: Hello and welcome to CorEnergy's Conference Call to discuss the Fourth Quarter and Full Year 2021 Results. At this time, all participants have been placed on listen only mode and we will open the floor for questions and comments after the presentation.  I would now like to turn the call over to Matt Kreps Investor Relations for CorEnergy. Please go ahead. 
Matt Kreps: Thank you, Kate and thank you everyone for joining today's CorEnergy Infrastructure Trust conference call. With me today are Dave Schulte, CEO; John Grier, COO; and Robert Waldron, CFO. Earlier this morning, we published a press release announcing the fourth quarter and full year results for 2021. We expect to file our Form 10-K this afternoon. You can also access a webcast replay of this call on the Investors section of the company website at corenergy.reit, typically available within a couple of hours of the live call's end. I would like to remind everyone that the statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available in the Investor Relations' section of our website. We do not update our forward-looking statements. Also during this call we will make reference to certain forward-looking GAAP -- non-GAAP metrics, which will be reconciled in subsequent filings as part of our results reporting. We encourage all of you to review our complete disclosures, risk factors, GAAP numbers, and those non-GAAP metrics with the related reconciliations. And with that, I would like to now turn the call over to Dave Schulte. Please go ahead.
Dave Schulte: Good morning everyone. We're happy to talk with you this morning about our results and our outlook. In 2021, CorEnergy overcame the pandemic-related challenges of 2020 and we believe we're now positioned for the future. We transitioned from a lease-centric business to an owner-operator model under our industry-leading private letter ruling that enables us to recognize certain operating activities as good rents within our REIT structure. We also reorganized our operations, reduced costs, and strengthened dividend coverage all to the benefit of our common holders going into 2022. This includes the reduction in management fees and simplification of the capital structure both of which followed stockholder approval. The net takeaway of these actions should be that while our common stock was already in a good dividend position, these steps provide even greater confidence of coverage for our common holders with subordinated management-owned shares acting as a shock absorber if necessary. This is also an indication of the confidence your management team has in the future of our platform. We believe we've achieved great alignment of management performance with our stockholders. Fourth quarter revenue was $35.8 million. MoGas and Omega were steady performers, while our Crimson California business demonstrated that it has established a post-COVID volume baseline and the benefits of our ability to implement rate increases when needed. Our assets now primarily generate revenue based on a cost-of-service model where over time the impact of any long-term volume declines are mitigated by tariff rate increases. This secures a stable model for CorEnergy and supports our ability to cover our dividends while providing opportunities for modest long-term growth ahead. Looking at California in a little more detail. In California, it is an energy island when it comes to oil since there are no interstate pipelines that carry crude from the other Lower 48 states into the state. Therefore every barrel of oil that Californians consume that is not produced in the state must be brought in on ships or rail at a far higher carbon cost versus our pipelines with a significant percentage coming from foreign countries, despite high oil prices and the signal that sends to producers. Last October, a court ruled that Kern County may not issue new drilling permits under its existing environmental impact report, until a legal challenge to that EIR is ruled on by a Court, requiring any new permits to be issued by the state, which has slowed issuance significantly. The hearing on the EIR challenge is scheduled to occur next month, in April. And though there are no guarantees, we're optimistic permits will begin being issued by the county soon thereafter. Additionally, for the past couple of years, producers have focused on using free cash flows to pay down their debt and invest in energy transition or carbon-mitigation programs in place of drilling, resulting in higher than historical decline rates. But, recently they've expressed their desire to increase production, should permitting issues be resolved. We do see other opportunities ahead, including the return of the offshore production volumes curtailed late last year due to an underwater pipeline break in a third party system that was not owned by the company. We expect those production resources will be back online and feeding into our system in the fall. Prior to that break, those accounted for about 1.2 million barrels of annual volume. And it will represent a sizable boost to our cash flows, which were previously reported at approximately $98,000 per month. We're also encouraged by quarterly updates from Phillips 66 that the Rodeo Refinery will convert to renewable diesel by 2024 and will no longer process crude oil. Those crude volumes are expected to continue to be produced but will need a path to different refineries such as the Crimson pipelines provide among other possible routes. Turning to our assets in the Midwest. MoGas and Omega systems continue performing steadily. We're delivering increased volumes and supporting the efforts of our customer Spire, in St. Louis, which is a critical provider of natural gas to customers in that area. The consistency and predictability of these assets are reflective of our long-term goals across the asset base. With that, I'll turn it over to Robert to address the financials and introduce our new ESG report. That report was supported by our senior leadership and Board of Directors, and the results demonstrate exemplary stewardship of capital and consideration for our stakeholders. Robert?
Robert Waldron: Thanks, Dave. For the three months ended December 31, 2021, we had revenue of $35.8 million; adjusted EBITDA of $12.3 million; adjusted net income of $835,000; and after providing for maintenance capital and debt amortization adjusted cash available for distribution or adjusted CAD of $2.4 million, resulting in a 3.2 times common dividend coverage. Adjusted CAD included a non-recurring $1 million measurement gain. After adjusting for that, the common coverage was still 1.9 times. Over time, we expect measurement gains and losses to cancel out. We finished the quarter with liquidity of approximately $35 million, including cash of $12 million and $23 million of undrawn revolver. The company's Board declared dividends on all preferred obligations during the fourth quarter and a $0.05 per share dividend on our common stock. No dividend was declared on Class B common stock as a result of not meeting the required 1.25 coverage ratio for the Class B shares. We will only begin paying the Class B common dividend, once we are confident that the Class B dividend can be maintained into the foreseeable future. As a reminder, the Class B common, owned by management, acts as a buffer providing stability in the dividend for our external stockholders. Our dividend characterization for 2021 was return of capital, a potential benefit for our investors. Now turning to our 2022 outlook. We believe we can achieve $44 million to $46 million in adjusted EBITDA, with $8 million to $9 million of maintenance capital. This should allow us to continue to earn and pay our common dividend in 2022. There will be some quarterly variability in dividend coverage due to timing of maintenance spend. Based on our 2022 outlook, we anticipate that a portion of the dividend characterization will also be return of capital. I want to direct everyone to the prospective forward-looking capitalization table located on page 70 in our 2021 10-K to be filed later today. We believe this table, when considered together with our GAAP financial information provides further insight into the impact of the non-controlling interest reflected on our balance sheet. Lastly, I want to address our ESG profile, which is increasingly important in today's environment. We are posting an initial ESG plan for investors and stockholders to view on our website, which serves as a baseline for our continued improvement. We will be working to formulate ways to improve on this baseline in the weeks and months ahead. As a company operating in the oil and gas industry in one of the most regulated markets in the world, our assets have been engaged in the E and S aspects of ESG as good business practice for the past 20 years. Furthermore, CorEnergy has always believed in strong corporate governance, which was further improved with the internalization of the manager in 2021. I'll highlight just a few points that speak to our positive attributes in our ESG analysis. First, as a pipeline company, we are one of, if not, the most carbon-efficient means of transporting large volumes, far more than other transportation options such as rail, ship, barge or truck. Second, as a natural gas pipeline, MoGas plays an integral part of the energy transition, transporting a cleaner burning fuel source that is readily available using existing infrastructure. Third, our California operations, while oil-focused, are operating in what we believe might be the cleanest energy environment in the world. California has a rigorous regulatory and safety framework and California producers are among the lowest carbon emitters in the world. In fact, CRC, one of the largest producers in California is possibly the lowest emitter for their publicly disclosed analysis and just a fraction of the average in their industry. By virtue of being a highly efficient transportation system, connecting in-state production to in-state refining, who in turn supply local in-state product markets, we minimize the carbon emissions associated with the transportation portion of the value chain. We welcome any feedback you may have on our initial report, as we continue to develop the program. At this time, we will take questions from our covering analysts or institutional stockholders before closing the call. If you have additional questions or follow-up needs not addressed on today's call, please reach out to our Investor Relations team and they will make necessary arrangements. Thank you.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions.  Our first question today is coming from Selman Akyol at Stifel. Your line is live. You may begin.
Selman Akyol: Thank you. Good morning. I guess, first starting off in terms of the Phillips 66 and those barrels looking to transport. Can you maybe talk a little bit about, just what you're seeing out there and your thoughts on being able to actually secure some of those barrels?
Dave Schulte: I'll let John Grier to answer that question. He's been operating in the state for so many years and I think has the best perspective on that Selman. John, are you able to respond?
John Grier: Yes. Sure. Selman, thank you. It's -- P66 has got their plans to first shut in their refinery in Santa Maria, which is a little bit of a preprocess for the refinery that's in Rodeo up in the Bay Area. And those barrels, they take on the order of 50,000 barrels a day up to -- in combination to both of those refineries. And those -- that 50,000 barrels a day has to go somewhere. For the time being, we can't say for certain exactly where those barrels go, but there was a shut-in of the Marathon Avon refinery. That's now approaching two years ago. And so, there's a shortage of barrels that's up in the Bay Area that needs to be made up somehow. We believe, there's a reasonable expectation on our part that a lot of those barrels will have to go north. That's our pipeline, but there's not certainty on that one.
Selman Akyol: Got it. And then, I guess, maybe just talking a little bit more about sort of the whole permitting situation, looking for I guess ruling next month. Can you just maybe talk a little bit about that if successful how quickly barrels could start to flow again?
John Grier: That's another one Selman, that won't happen immediately. There is a ruling and it's generally on kind of a technicality on the environmental impact reports that are done in Kern County. We believe there's good legal reason for that to go in favor of producers. But if it -- and there's a number of permit requests for drilling, as well as permit requests for, I'll say projects that would increase production which include well workovers and things that are like waterfloods and steamfloods and the like that are in the state. And we're optimistic that those move forward. And -- but again, that's not an immediate relief for all of the producers. I will say that, while there are some headwinds for the producers in California today, there is certainly very much a willingness and desire to invest in increasing production. And so, that I think eventually there's a benefit, but I can't say I think that's immediate.
Selman Akyol: Understood and appreciate the color there. Last one for me, and maybe more directed towards Dave. Can you just maybe talk a little bit about new business opportunities and what you're seeing and what you're chasing out there?
Dave Schulte: Sure, Selman. We still believe that the best return on investment is going to be projects or commercial developments that are within our existing footprint; and then secondarily add-on acquisitions that might diversify our platform. We've got activity underway in both of those areas. Now with limited capital, we're going to have to be choosy about where we go. But I do think that 2022 is going to be a good year for us. And we're very pleased with the level of activity we have on both those fronts.
Selman Akyol: Okay. Thanks very much.
John Grier: Selman, if I can add. This is John Grier again. We have in our company we have been looking at I'll call it, sort of, new energy investments. And we have been making efforts to use our assets and rights-of-way and people skills to expand our business in a number of uses that include specifically for carbon sequestration. And we're currently in discussions with counterparties on those uses and we hope to have some announcements later this year but we're working on that.
Selman Akyol: Great. Thank you.
Operator: Thank you.  We have no further questions in queue at this time. I would now like to turn the floor back over to David Schulte for any closing remarks.
Dave Schulte: Before closing the call, I do want to recognize Executive Vice President, Becky Sandring who will move on from the company in April. Becky was a founder of CorEnergy in 2010 with me. She has been responsible for leading our internal and external professional teams to develop the landmark private letter rulings that enable our platform to operate as we do. On behalf of our Board of Directors and her colleagues, I want to thank Becky for her tireless efforts to build our company and wish her the best in her next chapter. Thanks everyone for joining us today. Please contact our IR team if you'd like to meet with us at one of the upcoming investor conference events or arrange a direct one-on-one call. Have a great rest of your day.
Operator: Thank you, ladies and gentlemen. This does conclude today's event. You may disconnect at this time and have a wonderful day. We thank you for your participation.